Operator: Greetings and welcome to the Calix Q4 and Fiscal Year 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to our host, Tom Dinges. Please go ahead.
Tom Dinges: Thank you, Operator, and good afternoon, everyone. Today on the call, we have President and CEO, Carl Russo; as well as Chief Financial Officer, Cory Sindelar. This conference call will be available for audio replay in the Investor Relations section of the Calix website. Before we begin, I want to remind you that in this call, we refer to forward-looking statements, which include all statements we make about our future financial and operating performance, growth strategy, and market outlook. And actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause actual results and trends to differ materially are set forth in today's earnings press release and in our annual and quarterly reports filed with the SEC. Calix assumes no obligation to update any forward-looking statements, which speak only as of their respective dates. Also on this conference call, we will discuss both GAAP and non-GAAP financial measures. Reconciliation of GAAP to non-GAAP measures is included in our earnings press release and available on our website. As a reminder, our earnings press release, supplemental financial data, and an accompanying earnings release presentation are available on the Investors Relations section of the Calix website. For the quarter ended December 31, 2017, Calix reported revenue of $137.9 million, a GAAP loss of $0.25 per share, and a non-GAAP loss of $0.15 per share. In just a moment, Carl, will begin with opening remarks; Cory, will then take you through to the quarter in greater detail, as well as provide our financial guidance for Q1, 2018; Carl with then conclude with remarks on Calix strategy and growth outlook. This will be followed by questions from analysts. With that, I would now like to turn the call over to Calix President and CEO, Carl Russo. Carl?
Carl Russo: Thank you, Tom. 2017 was a challenging year and a year of significant achievement with strong growth and continuous improvement throughout each quarter. We expanded our addressable market, added many new customers, honed our service offerings, all while extending our core technology. We are well placed to continue these trends in 2018. From a macro perspective, Q4 was another example of the effects caused by the entire industry responding to device-enabled subscribers connecting to the cloud. While many communication service providers are working hard to shift their business models, let's be clear, outdated legacy models will struggle to succeed in this new world and may not even survive. The winning communication service providers of the future will provide a sensational subscriber experience via an infrastructure that is always on can be enhanced at a DevOps space and is intelligent enough to run itself and they must have the analytics to create and market new offerings to monetize their investments in the network. More boxes, more systems, even more controllers, and workers traders will not help. It requires platforms and only AXOS, EXOS, and Calix Cloud deliver. After two successive of years of greater than 10% growth, we passed the $0.5 billion revenue mark in 2017. The year also marked another milestone. It was the end of Calix the legacy wireline access systems company, and the beginning of Calix, the communications cloud and platform software systems and services business. While we haven't changed our name, we've changed just about everything else. You have seen numerous announcements regarding Calix Cloud and AXOS in these last 90 days and stay tuned for more about EXOS in the coming quarter. Outside of a very small support effort for our legacy products, we are completely focused on our platforms: Calix Cloud, EXOS, and AXOS. We recognize that we live in the network that connects the subscriber to the cloud and as such we are used to very long life cycles. We have always supported our customers throughout and we shall continue to do so. As an example our C7 and B6 systems are in their 17th year of deployment and we continue to support these products and others. However, we must press on, as our customers are as excited as we are to deploy our new platforms, build their next-generation networks, and transform their business models. To that end, we will continue to evaluate our business and align our assets, investments, and actions to our strategy. Our platform approach places us in front of the largest disruption our industry has seen, with our addressable market being any entity providing communication services to a subscriber. This includes local and competitive exchange carriers, cable operators, wireless providers, over builders like municipalities and electric cooperatives, hospitality providers and others globally. I will come back at the close to discuss just how bright the future is and further highlight the execution required to reach it. But first, I will turn it over to Cory to discuss the fourth quarter and year-end financials. Cory?
Cory Sindelar: Thank you, Carl. We last provided you with guidance regarding Q4 on November 7th. And in that guidance we called for revenue to be between $140 million and $145 million; a non-GAAP gross margin of between 36.5% and 38.5%; non-GAAP operating expenses in a range of $59 million to $61 million; and a non-GAAP net loss per share between $0.10 and $0.15. Relative to that guidance, our actual revenue for the fourth quarter was $137.9 million, below our guidance range; non-GAAP gross margin of 36.8% within our guidance range; non-GAAP operating expenses came in at $58.6 million lower than our guidance range; and our non-GAAP net loss per share was $0.15 within our guidance range. Getting into a bit more detail, revenue of a $137.9 million for Q4 marks the highest quarterly revenue in the company's history, representing an increase of 5% year-over-year. This also marks the eighth consecutive quarter of year-over-year revenue growth. Overall revenue was impacted by slower spending later in the quarter by a major customer, partially offset by strong quarter among our small and medium-sized customers as we benefited from the diversity of our product and customer base. We also benefited from the initial shipments to a new large customer. Product revenue was $116.5 million, representing 84% of total revenue, and was down 5% compared to the year ago period. Despite continued traction with our AXOS and Calix Cloud product offerings, product revenue was lower as a result of the just mentioned lower spending, as well as the impact from a major turnkey network improvement project, which was still ongoing in the year ago quarter, but completed in the first half of 2017, creating a challenging comparison for this quarter. Excluding the impact from this program, product revenue would have increased year-over-year. Service revenue was $21.4 million, representing 16% of total revenue, and was up over 130% from the year ago period, as we closed out nearly all of the previously awarded deployment services that we discussed on last quarter's call. Domestic revenue was 88% of our fourth quarter revenue, and up 3% year-over-year. International revenue was 12% of our fourth quarter revenue, and was up 14% year-over-year. And we had one customer that was greater than 10% of revenue in the quarter. For the full-year, CenturyLink was our only greater than 10% of revenue customer representing 31% of total revenue or $160 million. Our Q4 non-GAAP gross margin of 36.8% decreased from the 40.4% in the year ago quarter, but increased from the 34.8% reported last quarter, and marked a fourth quarter high. Non-GAAP product gross margin was 44.3% and relatively flat from the 44.4% reported in the year ago period, but declined from the 48% reported last quarter. Compared to the year ago quarter, the principal drivers of the consistent product gross margin were strength in product and regional sales mix as we continue to see strong traction with our AXOS and Calix Cloud products, partially offset by lower than corporate gross average gross margin related to the initial shipments of our new E9-2 to a large new customer. The principal drivers in the sequential decrease are due to the initial shipments to a new large customer, as well as increases in a provision for excess inventory and warranty charges, partially offset by the benefit and regional mix. Non-GAAP service gross margin was a negative 4.2% improved from the negative 15% in the year ago quarter, and from the negative 28% reported last quarter. Compared to our prior periods, the improvement was primarily driven by better mix. We had fewer previously awarded deployment services to closeout in Q4 at negative gross margins and had more new service projects at positive gross margin. As discussed last quarter, we expect our services business will move forward at a positive gross margin; given the new leadership and process improvements made during the year and that we completed the loss making deployment service projects. Our Q4 non-GAAP operating expenses of $58.5 million decreased from the $60.7 million reported in the year ago quarter. This decrease primarily reflects the leverage of our software platform, such that we reduced our R&D investment, while we continue to enhance our platforms and introduce new products into the marketplace. To a lesser extent, we saw a decrease in sales and marketing spending due to lower incentive compensation. These decreases were partially offset by an increase in G&A investment, with the largest contributor being our previously discussed core IT infrastructure migration to a cloud based system. As we discussed last quarter, the investment in our IT infrastructure builds a more scalable foundation and will allow us to automate the growing demands of our business. As compared to last quarter, our operating expenses were essentially flat even with the expenses associated with the company's annual user group in October and the increased commissions associated with Q4 results. Turning to the balance sheet, we ended the quarter with cash and investments of $39.8 million, down from the $70.8 million at the end of last quarter, and down from the $78.1 million in the year ago period. The primary drivers for the year-over-year decrease in cash were negative operating cash flow over the past 12 months, predominantly due to our net operating losses and capital expenditures, offset by borrowings under our line of credit and improved working capital velocity. Operating cash flow for Q4 was a negative $34.1 million primarily as a result of an increase in our accounts receivable of $36.2 million. Accounts receivable DSO was 53 days compared to 31 days in the previous quarter and 38 days in the year ago quarter. The vast majority of this increase was attributable to delayed payments from a key customer resulting in $33.8 million outstanding at year-end. Early in January, this customer paid us as they promised and continues to pay on time consistent with past practices. With this return to normalize to DSO, our cash balance as of today is more than $45 million. Inventories levels marked another multi-year low of $31.5 million in Q4 compared to $36.3 million in the previous quarter and $44.5 million in the year ago quarter. With total revenue increasing, our team's performance has been excellent in managing inventory levels and meeting customer requested delivery dates. Inventory turns were nine times in Q4 compared to eight times in the prior quarter and just under six times in a year ago quarter. Capital expenditures in the quarter were $1.2 million. Now let me take you through the details of our first quarter guidance. We expect revenue to be in the range between a $102 million and $108 million. This reflects the continued ramp of new innovative products into the marketplace such as our Mesh and carrier class Wi-Fi devices, Calix Cloud, and the continued shipments of our AXOS E9-2 offset by a slower than normal seasonal spending environment as some of our customers have delayed finalizing their capital spending plans. The prior year's quarter, also included the completion of a major turnkey network improvement project which creates a challenging comparison. We expect non-GAAP gross margins to be in the range of 39% to 41%, up from the 30.1% reported in the year ago quarter, reflecting the lower mix of service revenue as well as improved product mix compared to the year ago period. We expect our non-GAAP operating expenses to be in a range of $49.5 million to $51.5 million, down from the $63.1 million in the year ago quarter, and the $58.5 million reported in the fourth quarter. As we have talked about previously, our platforms -- with our platform spanning a growing share of our systems products and moving into commercial deployments, a bulk of the fundamental development work on these platforms is behind us. Going forward this results in significantly reduce costs to develop incremental functionality, while more importantly accelerating our time to market. The decrease in operating expenses compared to the year ago quarter predominately reflects lower investment levels for prototypes, the positive benefits as we leverage our AXOS platform, and the cost savings associated with our previously disclosed restructuring actions, as well as further actions we have taken in the first quarter. We expect to incur restructuring charges of up to $3 million in the first quarter related primarily to severance and other benefits. Our Q1 actions are expected to result in up to $16 million in annualized savings. Based on our estimate of 51.7 million weighted average shares outstanding, the expectations I have taken you through results in a guidance range for Q1 of a non-GAAP net loss per share of between $0.16 and $0.20. Our non-GAAP net loss excludes restructuring charges. Finally, with the expected normalization in accounts receivable DSO, we anticipate being operating cash flow positive and our overall cash balance to increase in Q1 relative to Q4. Importantly, we remain committed to our long-term financial model. As a reminder, our long-term model drives to 10% or better operating margin as annual revenue exceeds $600 million. At this point, let me turn the call back over to Carl.
Carl Russo: Thank you, Cory. In my opening remarks, I mentioned that Q4 was an example of the macro effects caused by the massive disruption straight ahead. One effect is customers look to quicken the payback on their investments, making them less willing to commit to projects that require years to generate a return. Our platforms and services directly address this need. AXOS enables our customers to deliver services on the lowest cost per bit per mile infrastructure. EXOS enables our customers to deliver a sensational subscriber experience. And Calix Cloud Analytics enable our customers to command the strategic high ground and target their capital investments, monetize their offerings, and dramatically lower the cost of delivering services. In short, we help our customers dramatically reduce the time it takes to reach an investment payoff. Another response to these disruptive forces are mergers and acquisitions. When they occur, they can inject unpredictability into the customer environment that results in spending changes. Although our customer diversity is a unique advantage for Calix, it does not mean we are completely immune to the spending disturbances caused by merger activity. To some extent, our Q4 results and Q1 guidance reflect this. Over the past few years, we've been discussing the ongoing transformation of Calix as well as the challenges faced by our customers as massive disruption unfolds. Our platforms make us ideally suited to take advantage of this disruption, because our platforms are fully abstracted and reusable, we address service providers of all types with common software and services: local and competitive exchange carriers, cable operators, wireless ISPs, over builders like municipalities and electric cooperatives, hospitality providers. In short, any company engaged in helping device-enabled subscribers connect to the cloud is a potential Calix customer. This market and customer diversity enabled us to weather the challenges that were clearly evident in the communication space in Q4, while delivering operating income in range. Publicly announced examples of our market success in just this last quarter were: helping our customers build value. An example was NCTCs use of Calix Cloud Analytics to significantly improve ARPU and lower churn, all without any additional investment in their access infrastructure. Enabling our customers to provide a sensational subscriber experience by deploying our Wi-Fi Mesh offering and the excitement was palpable as we passed 200 customers in the first quarter of availability. Expanding the market our platforms address with announced wins in the cable MSO and hospitality spaces. Innovating in key markets, helping more than 100 customers deploy G.fast to bring gigabit speed to MDUs. Growing AXOS in the cable MSO market globally. With the AXOS E3-2 which will be deployed by Sky Cable in a variety of environments in the Philippines, and achieving an industry milestone with Verizon's commercial deployment of the AXOS E9-2 with NG-PON2. This is the most recent and significant validation of our unified Access solution. Furthermore, we are continuing to drive benefits from our platform model inside our own business. Investments in OpEx continue to gain leverage and we will deliver innovation at a continually high rate, while reducing overall dollars invested. Stated simply, just as our platforms simplify our customers' environment, they simplify Calix as well. With year-over-year OpEx projected to drop by as much as 20%, I'm certain you can now see where we are heading with our business model. As Cory stated, Q1 is an unusual quarter from a revenue perspective, given service providers are moving a bit more slowly out of the gate, while they finalize their full-year capital spending budgets. However we expect a return to more normal investment patterns in Q2. As such, we believe, we are well placed to return to profitability as we continue to drive towards our long-term financial model. And finally, one of our longest standing board members, Mike Glenn, has notified us that he will retire at the end of his term this year. I would like to thank Mike for his 13 years of service on the Calix Board of Directors. Mike helped us to build Calix and has helped us transform Calix into the all platform company it is today. His steady hand has helped us every step of the way. On behalf of this shareholder, the other members of the board and all Calix team members, a hearty thanks. With that, I would like to open up the call for questions. Operator?
Operator: At this time, we will conduct a question-and-answer session. [Operator Instructions]. Our first question is with Meta Marshall from Morgan Stanley. Please proceed with your question.
Meta Marshall: Thanks guys. Quick question for you, on the comment about carriers being more reluctant to take projects that might have years to see a return, I guess, I just wanted to dive a little bit deeper into that does that mean reluctance to kind of abandon copper and move to fiber, does that mean, not wanting to use technologies like G.fast and wanting to move straight to fiber just like digging a little bit more into that? And then the second question is some other kind of participants in the industry have noted kind of not seen the adoption or has not seen the speed of adoption of G.fast as quickly as expected. And I guess I just wanted to see if you guys are experiencing that and why you think that that's happening? Thanks.
Carl Russo: So on the quickening and thanks Meta, I appreciate the question. On the quickening of paybacks that's a normal response when you're in uncertain times, so let me start there. So when people start doing models they look to and in fact say, you know what, we might be willing to invest for a much longer-term horizon, now we're looking for shorter-term horizon. The reason I point that out is it's not necessarily a fiber or a copper or a coax or a wireless decision as much as it is. They have to figure out architectures that helps them get to faster paybacks. And specifically the reason I'm highlighting that is obviously it's a selling benefit of Calix. Calix Cloud Analytics as an example enable our customers to be much more precise with their investment decisions and then how they monetize them. Our platform architectures do give them the lowest cost per bit per mile infrastructures that they can possibly build. So if you have a targeted investment with higher returns over top of a smaller approach and incremental to your investment, you have much higher ROIs, much faster paybacks. So it's a typical tendency when you get into less certain times that you see the shortening up. That said it has nothing to do with the type of infrastructure that they're building. Does that answer your first question?
Meta Marshall: Yes, that's helpful. But I mean I guess the question is a lot of times labor can be an extensive part of the overall cost of things. And so while your equipment can have a greater ROI for them, the labor to kind of install that is in many cases more than the cost of that. And so just how are they thinking about that whole equation as far as whether to kind of leave networks as is and try to modernize them with just equipment versus trying to kind of rip and replace.
Carl Russo: No, it's not that unidimensional. So in essence they're going to be more -- much more thoughtful about where they deploy. And one of the ways that we focus our ability to help them is to help them be more targeted in where they go make those investments. So having that analytic capability then changes your return on investment for example on a fiber build. If you simply have no intelligence, you're going to go build out fiber across a -- a given area. If you have more intelligence about where your higher take rates are going to be, you might narrow that investment and go after the places where you're going to get higher take rates and thereby getting to better returns. So it's more of that dimension than it is a particular dimension on which physical layer you're deploying and therefore how many trench triggers you're deploying.
Meta Marshall: Got it.
Carl Russo: Am I helping it? Does that make sense?
Meta Marshall: Yes.
Carl Russo: So and by the way it's the nature of the business is changing because if you go back 20 years, 10 years, three years, the nature of many service providers was we're going to rollout a new service and you just roll it out across the territory 100%. That is not going to be a winning solution in the future. There needs to be a good deal more intelligence deployed and that's what we're working with our customers on. To your question about G.fast, I think we've been clear for a long time that G.fast has we think a very good use case in MDUs. But as a broad-based copper deployment strategy, we think it's challenging. So look we're over hundred customers and have been for a while and as you might imagine that's continued to expand. So we're doing just fine from a customer traction standpoint, but you have to think about that specific use case as to where it goes and specifically it's in MDUs and MTUs. So I think the reason you might be hearing some of the disappointing language was frankly people overhyping a technology as opposed to looking at it for where the tools -- where that tool in the toolkit fits in the field deployment.
Operator: Our next question is with George Notter with Jefferies. Please proceed with your question.
George Notter: Hey thanks. I guess I wanted to ask about some of the bigger customers in the business CenturyLink, Windstream, Frontier, I guess I'm wondering how you see the spending environment for those types of customers going forward it's not lost on me that those balance sheets are under some pressure certainly if you look at the share prices there's clearly financial pressure there. And do you expect those customers in aggregate to be flat down, how do you think about them as you think about the full-year? And then, I guess, secondly, just philosophically do you see any changes at those types of carriers. You look at the deal like CenturyLink Level 3 it seems like there's more of a focus there on selling to enterprises rather than residential broadband; I mean anything you're seeing in terms of their strategic focus as carriers would be helpful? Thanks a lot.
Carl Russo: So I appreciate both questions George and I'll be careful about how much speechifying I do for people other than our company. So from the standpoint of CenturyLink, Windstream, Frontier, we tend to look at the future and look at our portfolio as being ideally suited to helping them deploy to great effect the limited capital that some of them will deploy. So it sort of goes back to Meta's question about being precise with your CapEx, targeting it, and then getting at the highest ROIs. Having said that, I'll give you a rough, I will use the word that I hate, but in other words, I'll use it, we plan them flattish, if that makes sense. But I think there is an opportunity to do better than that and we'll see. For CenturyLink and the Level 3 merger we're very excited by it. I think it puts CenturyLink in quite an interesting position to make best use of all of their assets and it's not clear to me at all that there is a preference to do one investment over the other. I do think they're going to get more disciplined about, if you will, again which tools in the toolkit they deploy where, but we'll see, but I actually am excited by that. And look I think there's great opportunities for us with Windstream and Frontier and others to help them extract the most from their networks. I hope that wasn't lost upon you during my prepared comments that we have customers that are taking care -- making use of Calix Cloud Analytics and actually raising their ARPU, lowering their churn, and they're actually making no additional investments in their access infrastructure. So there are ways of mining and improving these businesses that we think we have a unique ability to help them with.
Operator: Our next question is with Paul Silverstein with Cowen and Company. Please proceed with your question. Paul your line is now live.
Carl Russo: We may have lost, Paul. Let's -- can we go to next in queue and come back.
Operator: Our next question is with Christian Schwab with Craig-Hallum. Please proceed with your question.
Christian Schwab: Great, thanks guys. So just a few quick questions. On the OpEx at these types of levels and then with the announcement made, are we assuming that OpEx kind of stays at this call it $50 million-ish plus or minus on a go-forward basis or is there more cost to come out of that given the reductions you announced?
Carl Russo: So I think that your former is reasonable assumption for the time being Christian, I would discourage you from assuming anything else. Clearly, what we now believe we are in a position to do is drive the operating leverage from the platforms that we have built because we're now in the extended enhanced phase of what we're doing with them. But I would not think I would discourage you from going lower at this time.
Christian Schwab: Okay. That's great. And when you guys previously talked about your long-term model, do you feel in some of the initiatives that you have, do you feel, do you still believe that gross margins can get back towards a five handle start with or do you think that 10% operating margin comes from greater synergies -- greater than maybe previously expected spending on OpEx?
Carl Russo: So let me shape my answer to you and start with obviously as you now look at OpEx, you can start to see where we're heading. We obviously have had a heavy lift over these last three years in completing AXOS, and EXOS, and Calix Cloud and again you're never done but there are big initial investments that you have to make. So if you start to take your first question which is the OpEx and you start to map it out and you think about $600 million of revenue, I think you can start to see where we're trying to head on the OpEx side. On the margin side there's no question that the differentiable value is there for us to get back to that 50 point margin number you were talking about. It's just a matter of how the product mix and services mix evolves over time and so the rate at which we get there. But we are -- we remain steadfast on the $600 million, 50 points of margin, 40 points of OpEx, 10 points of operating model.
Christian Schwab: Okay, fabulous. And then congratulations on the Verizon announcement and Tier 1 win with you've been kind of waiting your whole life for, but you guys have previously talked about how that could very easily ramp to a 10% much heavier plus type of customer, as you began initial shipments and dialogue with that customer, do you think that ramp, what's the timeframe of that ramp? Is that take two or three years, how fast can that ramp?
Carl Russo: So obviously forecasting our path next quarter right dangerous, but let's just talk about it in general terms. In general terms, as Verizon -- as we announced then Verizon obviously was part of it, they are moving into a production environment, and their intent is to move forward on NG-PON2. When they do those sorts of builds and you can look back in history and I think that would be your best guide, you can look at historical ramps and realize that they get going slowly in the first few months, a little fast in the quarters, and it just starts to wrap up. So I think I've been clear that it's hard for me to conceive of Verizon not being a 10% customer over time. And to your point about over what period of time, I don't think it's that long but I would be loathed to give you a specific number. As far for your first statement what I've been waiting my whole life for that's a different conversation you and I can have over a dinner.
Christian Schwab: Sounds good. And then my last question then as far as getting to $600 billion given your previous growth trajectory, and then a significant new OEM, it appears to me in your comments kind of around outperformed market spending with other CenturyLink, Frontier, Windstream, et cetera, et cetera. There were probably only we're not too far away from potentially realizing that objective, are we?
Carl Russo: We like our growth prospects to be sure.
Christian Schwab: Yes, okay. So if one wanted to be an optimist two to three years out, we could be there.
Carl Russo: Sure. I mean if you simply take the 10% growth rate that we've achieved in the last two years and years and you just play it out, you bet.
Christian Schwab: Great. No other questions. Thanks guys.
Carl Russo: Christian, thank you very much.
Operator: Our next question is with Tim Savageaux with Northland Capital Markets. Please proceed with your question.
Tim Savageaux: Make sure I'm not on mute here. Congratulations in particular on the OpEx guidance, it looks it's nice to see kind of plateau and come down there. Start to look at operating leverage which brings sort of the focus from my perspective I guess a little more sharply on top-line dynamics for 2018 on spending, where you're headed longer-term. That is I would assume that you've got kind of a bit of a headwind you actually looking at the numbers had a pretty big year in terms of growth for CenturyLink and I wouldn't expect that to occur. In fact, I can probably expect the opposite. And so would you look at those and kind of the addition of Verizon is potentially offsetting factors and I guess high level do you think you can grow the top-line in 2018?
Carl Russo: We can grow the top-line in 2018.
Tim Savageaux: Thanks. I'll pass it on.
Operator: Our next question is with Fahad Najam with Cowen and Company. Please proceed with your question.
Fahad Najam: Thanks for taking my question. Couple of questions for you, Carl. One, in terms of the gross margin, how much of volume plays an impact on the margin here and one in terms of like is that a minimum critical amount of volume that you need in order to see a meaningful uptick in gross margins from here?
Carl Russo: It's not -- well there's two dimension to that, perhaps let me break up your question and by the way we heard Paul was joining earlier you're just holding your hand over his mouth so he can't speak.
Fahad Najam: No, he is on the call.
Carl Russo: So there is two dimensions to your question. And as you might imagine as you think through our platforms Calix Cloud, EXOS, and AXOS, they're not volume sensitive, they're just simply mix sensitive and as they grow as a mix of the business, they will have an upper lift on margins as you might imagine. When you think about starting to address larger and larger service providers around the world, then obviously you're entering at one margin, and then as you grow volumes and you continue to mature your margins go up. That part of it is volume sensitive. But look, let me tie two pieces together. As you heard Cory talk about product margins in the quarter, if you go back in history, and this may be history beyond what you remember, it is certainly history that Paul remembers, if you look at large service providers coming new to a vendor, they have tended to greater margins at times. And so we've started to add in some large service providers and we're in the 40s in our product margin piece. So I think we're figuring this out, but we'll be happy to take the volume, how is that?
Fahad Najam: Okay. And just related to that in terms of the mix between product and services, if I were to put myself in the shoes of your customers, one of the biggest cost buckets are the human aspect of deploying high speed services, and I think what I'm hearing from talking to these carriers is that they're increasingly looking to outsource their manual aspects of the work. To that extent if you were to get meaningful exposure to guys like Calix and Frontier, CenturyLink and Frontier why shouldn't we expect an increasing margin which would potentially be headwind in terms of the overall corporate margins?
Carl Russo: So what you're asking is deployment services specifically having a positive revenue and a negative margin?
Fahad Najam: Yes.
Carl Russo: We just lived through that for the last two years; actually we're going the other way. So we intend to continue.
Fahad Najam: My question was wouldn't one to expect that that trend to continue in fact because that's what these carriers are struggling with the cost and so they would want to outsource that deployment aspect of the business to you guys who are supplying them the equipment?
Carl Russo: So the answer is there's been some of that, but there are also quite viable third-parties and an ecosystem that exists. And we're actually forecasting our services business especially in the deployment services side to probably decrease going into 2018 and the services mix to shift towards more strategically aligned platform services that help our customers start to transform their environments. So I understand your question, but actually from where we were taking on two major turnkey programs on a comparative basis, we believe it will be down for us. So what I'm saying to you is not that that it's going away or going in a different direction than you're saying, you're just running up against large comparables that we had the last two years.
Fahad Najam: Got it. And one last question if I may?
Carl Russo: You may.
Fahad Najam: How should we thinking about the tax reform impact and your future tax, how should we be modeling for tax going forward?
Carl Russo: I'm so glad you asked a financial question; Mr. Sindelar, might you answer that question, please.
Cory Sindelar: Right. So today the impact of the new Tax Reform Act will have an impact on the carrying value of our deferred tax assets, but as you know we have a full valuation allowance against them. So there won't be any meaningful change in our tax position for at least the next couple of years.
Operator: Our next question is with Paul Silverstein with Cowen and Company. Please proceed with your question.
Paul Silverstein: Carl, first a clarification. This question being better part of dollar [ph], I actually had my hand over my own mouth, but some much for discretion. First off, I recognize that past is always not prolonged so would that be wind out. If I look at all customers other than CenturyLink for calendar 2017, they're down not dramatically but they’re down almost $10 million at 2.5%. And you obviously had the benefit of a fair amount of service revenue during the year. So my first question I recognize there is sensitivity by customers. But can you share with us any insight as to how much I assume CenturyLink was part of that big increase in services, can you give us any insight of that and then I've got some follow-up questions on this side?
Carl Russo: Yes, CenturyLink was a big part of the increase in services and we also reported services from another service provider earlier in the year in 2017. So there were two customers that drove the services speaking forthrightly and if I speak any more I will also have to put my hand over my mouth.
Paul Silverstein: All right. Looking forward, taking into account that Verizon is going to increase to something you think it might be 10% at some point this year, but if we look at with the recognition that that revenue is probably going to come in relatively low margin to your point earlier then you make a tradeoff at least nearly goings. When you look at the growth from everyone other than CenturyLink this year it -- and take into account the services component, I appreciate it's going to be positive as opposed to the negative margins that is generated so far. But when you look at the associated profitability of the growth, any thoughts you can share with us?
Carl Russo: Yes. I think my thought would be back to Fahad's question about margin and mix because when you think about the platform business going forward. Let me give you an example, the Calix Cloud offerings are growing at a good clip both in number of customers and also in individual deal size, now that's a subscription-based platform business. If you -- I know you understand subscription-based platform businesses and you understand that that leading indicator is something you look at internally, but it doesn't flow through the P&L but over time. As we watch those leading indicators and we start looking at the mix of Calix Cloud, of AXOS licenses, and the attendant services that go along with it, they are real reasons why we're very bullish on the margin mix to your point of that "remaining business". If you couple that with my comments about sort of the mid-tier Windstream Frontiers and others being flattish, then I think you can put the puzzle together. If you then add in -- sorry --
Paul Silverstein: No, go ahead. Go ahead, Carl.
Carl Russo: If you then add in the other comments that I made in my prepared remarks about we are now sitting with Calix Cloud, AXOS, and EXOS, which are three platforms that are service provider independent. We are marketing and selling to all service providers of all types and there are clear -- and there's clear evidence in the quarter announced during the quarter of what we're doing. So I think you can start to put that picture together.
Paul Silverstein: All right. And let me ask you a quick question on the balance sheet. I heard your comments about being operating cash flow positive this quarter. I think I heard you say, you were at $45 million of cash taking into account the cash that came in, in January. It -- I trust you all feel the balance sheet sufficiently I don't know perhaps robust is not the right word, but that there is not a balance sheet issue in terms of deteriorating customers from doing business with you to an extent whatsoever and you don't feel you need to do anything in terms of additional debt or capital raise to shore up the balance sheet?
Carl Russo: So let me just address robust. I don't know that I would apply robust to where we currently stand on cash. The flip side is I interact with our customers quite frequently and I'm quite comfortable with where we are, but Cory, if you want to add any words to that as far as what you're looking at and where things are going cash flow over the year something that will help Paul sketch that out.
Cory Sindelar: Sure. So like we said on the last call we expect to be cash flow positive by middle of the year. We look at kind of where we're right now for the first quarter and we're now positive -- we will be positive for the first quarter. So I see a scenario where we can be cash flow positive for each of the quarters this year.
Paul Silverstein: Okay, I'll pass it on. Thanks guys.
Carl Russo: Paul, thank you.
Operator: Our next question is with George Notter with Jefferies. Please proceed with your question.
George Notter: Hey guys. Thanks a lot for let me follow-up here. I wanted to ask about the capital budgets you mentioned that capital budgets are slower to be released. What exactly are you seeing? Is there a root cause that's driving those delays? I imagine you're going to reference the CenturyLink Level 3 deal but anything else that you're seeing there? And then, how late are we in terms of getting those budget releases relative to maybe historical norms. Thanks.
Carl Russo: Yes, so George, great question. Look obviously some of them are being extended from the fourth quarter into the first quarter. And then, there are just a couple of others that are taking a little more time because frankly I think they're more capital constrained and they're trying to make sure that they have the right investment portfolio going forward. How late are we? Weeks to months not quarters, number one. Number two; you sort to have to remember that in the infrastructure business a lot of it is outdoors. So you can't wait very long before you've missed the entire year because of building seasons. So weeks and maybe a couple of months in some cases and then it's why we indicated in our prepared remarks that we felt that we would be back to a more normal environment in Q2. Does that help?
George Notter: Got it. Yes, that's very helpful. And then just as a quick follow-up I wanted to go back to the gross margin question. So what do you think normalized gross margins might look like in the company right now let's say if I could kind of assume you guys get, where you're headed on services margins and kind of maybe peel out the Verizon revenue stream, what do you think the gross margins of the company would look like ex those factors?
Carl Russo: So what you're asking us to do is to do sort of a segment reporting live on the phone while we speak; is that right?
George Notter: I guess, I just want to know that the underlying business is healthy in terms of your relationships with customers, your leverage over them or vice versa and how much profitability that the business drives just organically again.
Carl Russo: Yes. So let me address the organic side and it's never -- I don't view it as leverage. I view it in a following fashion. The phrase we use is differentiable value. Are you building something of value to your customers and does it have high differentiation or not to other places they can solve the problem. If you look at our platforms, they have incredibly high DV. And so when you look at our business organically the way you're asking the question and I think I understand exactly what you're asking this is a very healthy business.
George Notter: Okay, I'll pass it on. Thanks.
Carl Russo: Yes. Thanks George for asking that.
Operator: Our next question is with Tim Savageaux with Northland Capital Markets. Please proceed with your question.
Tim Savageaux: Hi, just a brief follow-up here and I think this is kind of picked around this a little bit but the question is all in services mix. I guess expectations going forward and obviously you had -- did have a big increase in 2017 I guess from what 7% of revenue to 17%. I think we're all kind of expecting that to come down I guess sort of order of magnitude is the question. Would somewhere in between those two numbers seem like the right place to be or do you have any guidance on services versus product mix for 2018?
Carl Russo: Yes, to your former question.
Tim Savageaux: Right, super efficient this afternoon. I'll pass it on.
Carl Russo: I'm doing my best, Tim, as are you by the way.
Operator: Ladies and gentlemen, we have reached the end of our question-and-answer session. I would now like to turn the call back over to Tom Dinges for closing remarks.
Tom Dinges: Thank you, Operator. Please note, before we conclude today's call, Calix is changing the format and content of our earnings conference call starting with the first quarter of 2018 earnings call. In lieu of prepared remarks on the conference call, Calix will post an investor letter with a detailed description of the quarter as well as an update on Calix strategy to our Investor Relations website after market close on the day of our earnings release. This letter will be referenced in our earnings press release in order to allow investors adequate time to review the investor letter, our earnings conference calls will start 30 minutes later at 5:00 p.m. Eastern Time. In addition, management will be participating in investor meetings and in investor conference during the first quarter. Information about these future events will be posted on the Events & Presentations page of the Investor Relations section of Calix.com. Once again thank you for your interest in Calix and thank you for joining us today. Goodbye for now.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.